Operator: [Foreign Language] Good morning, ladies and gentlemen, and welcome to the Boralex Fourth Quarter of 2022 Financial Results Conference Call. Please note that all lines are in listen-only mode. [Operator Instructions] Please also note that the conference is being recorded. For webcast participants, you may also ask questions during the conference, but they will be answered by email after the call. Finally, media representatives are invited to contact Camille Laventure from Boralex, and her contact information is provided at the end of the quarterly press release. And I would like to turn over the conference to Mr. Stephane Milot, Senior Director, Investor Relations for Boralex. Please go ahead, sir.
Stephane Milot: [Foreign Language] Thank you, operator. So good morning, everyone. Welcome to Boralex fourth quarter and year end results conference call. So joining me today on the call is Patrick Decostre, our President and Chief Executive Officer; Bruno Guilmette, our Executive Vice President and Chief Financial Officer; and other members of our management and finance teams. So Mr. Decostre will begin with comments about market conditions and the highlights of the quarter. Afterward, Mr. Guilmette will carry on with financial highlights and then we will be available to answer your questions. As you know, during this call, we will discuss historical as well as forward-looking information. So when talking about the future, there are a variety of risk factors that have been listed in our different filings with securities regulators, which can materially change our estimated results. So these documents are all available for consultation at sedar.com. In our webcast presentation document, the disclosed results are presented both on a consolidated basis and on a combined basis. When talking about the results, we generally -- sorry, generally refer to combined numbers. And when referring to cash flow and balance sheet, we generally refer to consolidated numbers. So please note that combined is non-GAAP financial measures and it does not have standardized meaning under IFRS. Accordingly combined may not be comparable to similarly named measures used by other companies. So for more details, see the non-IFRS and other financial measures section in our MD&A. The press release, the MD&A and the consolidated financial statement, as well as the annual report and a copy of today's presentation, are all posted on our website at boralex.com under the Investors section as well as the -- our CSR report, which has been also published today. So if you wish to receive a copy of these documents, please contact me. Mr. Decostre will now start with his comments. So please go ahead, Patrick.
Patrick Decostre: Thank you, Stephane. Good morning, everyone. It's a pleasure for me to present our results and achievements for the fourth quarter and fiscal year 2022. 2022 has been a very active year for Boralex. I'm very proud to say we surpassed the 3 gigawatt of production capacity this year, while growing our AFFO by 34% in the fourth quarter and 27% in fiscal year 2022. We ended the year with an AFFO per share of $1.63, a 27% increase over 2021. Our dividend payout ratio was 41%, meaning we reinvested 59% of our AFFO into growth projects. At the very end of the year, we closed a significant transaction in the U.S., adding 447-megawatt to our capacity, but also bringing promising upside for Boralex while diversifying our wind resources. Our teams showed agility, innovation and vision in the extraordinary market conditions associated with the energy crisis in Europe as well as inflation and global supply chain pressure As a result, we succeeded in optimizing revenues by the early termination of the short remaining term contracts, allowing us to benefit from higher selling prices. We also commissioned certain assets earlier than expected and negotiated a number of contract with electricity-consuming companies, allowing us to optimize our revenues, projects and operating assets. These actions resulted in a $15 million addition to discretionary cash flows generated in 2022, a 9% increase over 2021. We also continue to add projects to our pipeline in the four quarters with the addition of solar and wind projects, totaling 137-megawatt to the preliminary phase of our pipeline. Looking ahead, we are in a very solid position to pursue our growth with close to $500 million in available cash flow and authorizes financing in the ratio of debt -- of net debt to total capitalization of 40%. We also have a very solid pipeline of projects in development and construction, which now stands at 5.5 gigawatts, this is 2.5 gigawatts higher and an increase of 81% over fiscal year 2020, the reference year for our 2025 strategic plan. Before covering market condition, I would like to highlight our achievements in the past four years for some key metrics. First, our installed capacity went from 1.9 gigawatt in 2018 to 3 gigawatt at the end of 2022, a 12% CAGR. As mentioned before, our pipeline of projects increased significantly and more than doubled in the past four years. This growth was achieved while maintaining our debt level almost flat at $3.3 billion. Our AFFO and FFO per share grew by CAGR of 30% and 22%, respectively, during this period. I'm very proud of these results and we'd like to take this opportunity to thank all Boralex employees for their commitment and hard work during these years. As you can see, your efforts really paid off. I won't go in all the details of the market's condition. But in general, I would say that for all markets in which we operate and developed, favorable programs are being discussed or put in place similar to the IRE in the U.S. In Canada, discussions are ongoing about an investment tax credit of up to 30% per foreign investment in clean technologies with a focus on net zero technologies, battery storage solutions and clean hydrogen. In France, the low to accelerated development of renewable energy has been reviewed by the Senate and the Parliament and should be approved in the coming weeks. This will be followed -- this year was the publication of the Port Ryerse annual plan setting the rules and RFP requests for the coming years. The famous PPE. In the U.K., England focused mostly on solar and new outlook for onshore wind farms. Scotland focused mostly on onshore wind power. It has released an onshore wind policy statement at the end of 2022 in which the Scottish government sets on an offshore wind capacity target of at least 20 gigawatt by 2030. This will represent an additional 11 gigawatt of capacity by the end of the decade, Scotland currently has about 9 gigawatt of operational onshore wind. I would now rapidly review the main variances in our portfolio of projects and growth base. The 8-megawatt decrease in the early stage was due to the addition of new wind and solar projects totaling 137-megawatt in Europe. Change to the expected capacity of nine wind projects and six solar projects in Europe for 18-megawatt favorable impact. These increases were offset by the progression of four wind and four solar power projects in Europe to the mid-stage phase totaling 163-megawatt. The 37-megawatt increase in the advanced stage resulted from the progression in Europe of three wind projects from the mid to the advanced stage In total, our pipeline now comprises project totaling 4.1 gigawatt of wind and solar project and 820-megawatt of storage project. In storage, we submitted our bid for 380 megawatt in the Ontario RSP on February 16. Let's review the change to the gross path now. No project progressed to the secured stage, but three projects from the secured stage transitioned to the ready-to-build phase. These projects at the 100-megawatt net wind project of Apuiat in Quebec. The 29-megawatt wind project Moulin Blanc and the 21-megawatt wind project Bois St-Aubert in France. These projects totaling 150 megawatt are expected to be commissioned in 2024. I won't cover in detail the progress made in our four strategic directiona as I have already talked about the major highlights, but you can find all the details in the slides of the webcast and in our MD&A. This completes my part. I will now let Bruno cover the financial position in more detail and will be back later for the question period. Bruno?
Bruno Guilmette: Thank you, Patrick. Good morning, everyone. I will start with a review of the progress made in light of our 2025 corporate objectives. As mentioned by Patrick, we made good progress on the installed capacity by surpassing the 3 gigawatt mark. The EBITDA and reinvestment ratio are progressing according to plan, while we have a strong AFFO increase of 27% in 2022. About our CSR strategy, we continued to make good progress on the environment, social and governance fronts as presented on Slide 16. In 2022, we updated and published our environmental mission. We surpassed our 2022 target of women in management positions and increased the target for female representation on the Board of Directors from 30% to 40%. Currently, women represent 45% of our Board members. Finally, we created the position of Senior Vice President, Enterprise Risk Management and Corporate Social Responsibility, with the goal of integrating ESG with risk management. For more detailed information, including data on CO2 emissions and work done in relation to the climate changes and the TCFD initiative, I invite you to read our 2022 CSR report, which has been published earlier this morning. Lastly, on our corporate objectives, our balance sheet remains very solid with close to $500 million in available cash and authorized financing facilities to continue implementing our growth plan. Our net debt to total cap ratio stands at 40%, down from 48% last year. 90% of our debt is project debt with no recourse on Boralex and fixed interest rates. I will now cover the financial results for the quarter starting with production. Overall, total wind production for the quarter combining Canada and France was in line with anticipated production and 16% higher than last year. Total production for the hydro sector was 12% lower than anticipated and 21% lower than last year. The decrease is mainly attributable to U.S. Hydro due to unfavorable weather conditions. Finally, production from solar assets was 3% lower than anticipated but 10% higher than the same quarter last year. In summary, total production for the quarter was only slightly lower at 2% than anticipated, but 9% higher than last year. Fourth quarter combined revenues were up 63% compared to last year, mostly due to high electricity prices in France for which a large portion had to be put aside as a reserve to reimburse revenues above the price cap. Combined EBITDA increased by 6% in the fourth quarter and operating income decreased by $68 million or 82% due to the recognition of a non-cash asset impairment charge on our U.S. solar assets, a charge relating only to increase interest rates in our annual depreciation test. Please note that the $12 million increase in corporate expenses is related to increase in the workforce, related to the growth of the corporation and non-recurring costs in regards to the management model update. On a consolidated basis, we have generated $189 million of consolidated net cash flows related to operating activities compared to $81 million in the fourth quarter last year. Cash flow from operations was $141 million in the fourth quarter, a $25 million increase over the same quarter last year. AFFO was $77 million, compared to $58 million in the same quarter last year. The increase comes from the EBITDA increase. The decrease in interest paid an early repayment of project debt in recent quarters. Our financial position is very solid with our net debt to total market cap ratio of 40%. I would like to briefly cover one last element before the conclusion. When looking at our fourth quarter results, please note that three elements affected some of our financial measures without having a material impact on our EBITDA and cash flows. The first element is an impairment of assets for our U.S. solar operations, given sudden significant increase in discount rate when performing our year-end impairment test. The settlement affected our operating income but had no impact on our cash flow. The second element was the announcement of the threshold for the feed in premium contracts. As expected when we released our third quarter results, this level was not higher than our contract price, hence we did not have to take additional retroactive charges relating to this on top of the third quarter charge. Our prudent approach served us well. Finally, the market price cap of €100 plus 10% of the difference between selling price and €100 became official in France at year end. As expected, we accounted for an operating charge during the quarter, which largely offset revenues generated by the assets affected by the cap. In conclusion, fiscal year 2022 and the fourth quarter were strong periods in which we pursue the disciplined execution of our plan. We increased production capacity by 21%, surpassing the 3 gigawatt mark. We added 137-megawatt to the preliminary phase of the project pipeline in the fourth quarter. Our pipeline of projects in development and construction now stands at 5.5 gigawatt. We generated discretionary cash flows of $167 million for the year-end December 2022 to 27% increase over 2021 and we continue to have a strong financial position. Thank you for your attention. We are now ready to take your questions.
Operator: [Operator Instructions] We are now going to proceed with our first question. The questions come from the line of David Quezada from Raymond James. Please ask your question. Your line is opened.
David Quezada: Thanks. Good morning everyone. Maybe if I could just start in France and just on the topic of potential accelerated permitting timeline. Is there any color you can provide on how that could benefit the projects in your pipeline or what the benefit could be for you there?
Patrick Decostre: Yes, good morning, David. The law has gone through the Senate and the Parliament and the Commission on January 10. And the final adoption will be in the next weeks in the French process. I cannot give a clear say direction to say, how much match it will accelerate, definitely France need more renewable and wants to have say less red tape. That's the take and I think the PPE, the programmation pluriannuelle de l'énergie energy will be an important step because it will define exactly the pace and the volume of the RFP for the next year. So -- but I think what we already see clearly is that local administration are more diligent than ever in France when we have to adapt something on the project. So I think -- and this is the most important point. It's good to have a low, but it's important that on the ground, it's accelerating and we already see some signal like this and we will push hard to that it impacts the significant project that we have in our pipeline.
David Quezada: Excellent. Thanks for that, Patrick. And then maybe just one more for me. When you look across your footprint and maybe specifically, if we could touch on Limekiln, do you see any changes to the budget for any project or anything that you had point to as being affected by higher costs?
Patrick Decostre: By higher costs. Yes, the point is, you have seen that Limekiln was in our grows path since, I think, 2020. And so we had to adapt ourselves to different point. We obtain the extension agreement, we obtain larger turbine, bigger rotor agreement. And so we have not taken any two-stretch assumption. So we are -- we have taken our final investment decision and we are very comfortable with the return, which is on the high side of the eight to 10-person expected return. So that's the thing. And it's the same on the Apuiat projects in Quebec. We have been able to negotiate a contract with a turbine supplier and with the BOP and its actual cost that we had -- we had room in to optimize the project between the time beginning of 2020 when we signed the contract with Hydro-Quebec and today. And so, we are also on the high side of this return frame.
David Quezada: That's a great color. Appreciate it. I'll turn it over.
Patrick Decostre: Thank you.
Operator: We're now going to proceed with our next question. And the questions come from the line of Rupert Merer from NBC. Please ask your question. Hello, Rupert, your line is open.
Stephane Milot: Hi, we can go with the next one.
Rupert Merer: I'm sorry about that. I'm a rookie apparently. Looking at your U.S. solar pipeline, you took some write-downs in the quarter in New York. And I know you bought some opportunities for perhaps repricing some of those projects. Can you give us some color on how that process is evolving?
Bruno Guilmette: Just to mention Rupert, so we did not take write-downs in New York. Write down the depreciation is only on our U.S. solar acquisition done in '21 because on the annual test. We are using higher interest rates and that's the only reason it's not performance-related and solely on U.S. solar acquisition completed in '21 for California and some other states.
Patrick Decostre: Yes. And on the New York project, specifically, we are making good progress on the cost and site optimization. We are like the whole industry in discussion with NYSERDA and I am confident that this will be positive because they will have one way or another take into account the inflation and the RFP with NYSERDA is on, we have to bid on April 16 for the 2022 RFP that has been postponed in 2023. But after opening all the offer, they will have a clear view of what is a fair price for a project today with today's cost including IRA and all those things. So at that time, I presumably will act to help all the industry to take final investment decision then start building.
Stephane Milot: Rupert, this is -- Hi, this is Stephane. Just wanted to add on the impairment question about -- there's also another thing to consider is that because we have a limited amount of assets in the U.S. So the parameter to do the testing because there's not a lot of assets is quite small. So that also triggers like when you get the high, like Bruno mentioned, sudden increase in interest rates. So it has no impact on future gaps we were looking at for this business. This is strictly an accounting measure. No cash impact either and if ever, the rates are going down this accounting charge could go down also. Thank you.
Rupert Merer: Okay, great. Thank you. And Bruno, on your liquidity, you mentioned you have $500 million. Forecasting your growth out the next few years, how long has your runway now to be able to fund investments before you need more equity? And are you still looking at M&A, which of course may shorten that runway somewhat?
Bruno Guilmette: Yes, we're always -- Rupert, thank you for your question. We're always looking at many opportunities, whether it is in Europe and/or the U.S. as per our strategic plan. So in the regions that we've talked about in the past, so this is certainly a volatile environment, which can be good for -- potentially for M&A. Valuations are moving around. So hopefully, it's going to create opportunities. So putting aside unknown M&A for your question on runway and the cash. I mean, we believe that certainly for this year, we're pretty well financed. We have a few large projects that are going to begin construction over the course of the year. But that's taken into account in our projection and we'll see what happens on the M&A side.
Rupert Merer: Great. Thanks for the color. I'll leave it there.
Operator: We are now going to proceed with our next question. And the questions come from the line of Sean Steuart from TD Securities. Please ask your question.
Sean Steuart: Thank you. Good morning. Just following up on the last question, Bruno. Any broader thoughts on asset recycling opportunities. You timed the sell down in France, a year ago very well. Is there still strong interest from private buyers enough that you might consider additional asset sell-downs to bolster the funding position?
Bruno Guilmette: Thank you, Sean. The -- there is always good Interest for the types of assets that we own and the team that the people that we have to operate and develop these assets. So it's really our decision to look at where we believe we have created value and where we believe that we could share some of the future potential upside and at the right price at the right time. So we try to essentially look at the portfolio. And once we see potential for that to happen, I mean, we're going to look at the possibilities in the portfolio. Essentially, we want to develop value. And then I've joined by I mean, our key financial investors as we've done in France. So we believe there are other places in the portfolio, we could do that, but it's not for the immediate future.
Sean Steuart: Okay. Thanks for that detail. And then, Patrick, a question for you with respect to Quebec. Beyond the three projects with energy here and Hydro-Quebec, can you comment on your longer-term pipeline in the province? And I guess the timeline for those projects coming to fruition and if the turnover at the top of Hydro-Quebec has any bearing on that timeline?
Patrick Decostre: We start by the end, strategic plan of Hydro-Quebec has not changed by the change at the top. And clearly, the division of Quebec government is very strong and positive on the wind development. Remind you that, Quebec needs to add the 100 terawatt hour before 2050, which means a 50% increase of the present production. Last Tuesday, the Energy Minister, Pierre Fitzgibbon announced that in the coming years, the capacity -- his intention was to double the capacity in Quebec from 4 gigawatt to 8 gigawatt and to quadruple to 16 gigawatt by 2040, 2050. So it's clear that the government will see order Hydro-Quebec to start new RFP in the next months. And it's also clear that on our pipeline, we have -- from our experience of Apuiat project and Seigneurie de Beaupre project and contract negotiation in the last two years, we have restarted strongly to make Greenfield development in Quebec and that we will be ready to bid in this RFP.
Sean Steuart: Okay. Thanks very much for that detail. That's all I have.
Patrick Decostre: Thank you, Sean.
Operator: We are now going to proceed with our next question. And the questions come from the line of Mark Jarvi from CIBC. Please ask your question.
Mark Jarvi: Good morning, everyone. Just coming back to the New York solar projects. Following up on your comments, Patrick, once you get a revised price of NYSERDA -- how soon can you move to construction? Are those projects nearly -- fully permitted? And are you close enough on procurement that you can make a construction approved in a timely fashion?
Patrick Decostre: What is -- the team is working very hard to optimize the existing 200-megawatt project. So we have optimized layout, we have optimized inventory, we have optimize everything we can. At the same time, we are working on the development and optimization of the 540-megawatt and we are working hard on bidding new projects. So we are -- we have a quite clear view of the cost of construction today and the speed of construction in order to optimize that. So I think, what I hope is that NYSERDA will do that at the same time, then the federal government will implement the real tax credit rules, the IRS rules. And then we can -- we will be able to take our decision very quickly.
Bruno Guilmette: Maybe Mark, just to add on that for the 200-megawatt, we have all authorization to go. So it's really a question of getting the right economics to start.
Mark Jarvi: Okay. All right. So it's up to your decision. Once you have some price certainty, you guys get to declare FID. You can move pretty quickly the construction?
Patrick Decostre: Yes.
Mark Jarvi: Okay. Coming back to the projects with Energy here as in Hydro-Quebec obviously Hydro-Quebec showing sort of a pause on the procurement to thinkable planning and siding. Does that change at all those projects, which have been done on a bilateral basis? Does that change the timeline at all or do you still feel like those projects to move ahead in a timely fashion? And maybe you could update us in terms of where you are in negotiations of a PPA price?
Patrick Decostre: So this project has been fully negotiated. It's a 400-megawatt project. We are working hard to obtain the environmental authorization and we're working hard on local consultation and everything to be approved. We are also working hard with -- in the follow-up of APUIAT order of turbines and BOP, we are working hard to optimize cost of the project. So the intention of Hydro-Quebec to sign these three contract was specifically to say, correctly to accelerate their -- the energy supply to them without having to wait for RFP and the governance. So it's clear that they need energy quicklier than 2027 which will be probably the date for the next RFP to put in line for the next RFP that will come. So no delay on this project. The -- Sorry. The critical path is obtaining authorization finally.
Mark Jarvi: And so now you think you'll get environmental authorization and when could you move to I guess, final investment decision on those projects?
Patrick Decostre: Yes. And that's why we are already working hard to negotiate costs, working hard to optimize the cost because it's a big project. So optimize roads, platform everything. It's an important optimization and the team did it on the first three, four phases of Seigneurie de Beaupre project. So we know the place. But the critical path is really to date the environmental authorization.
Mark Jarvi: And is that expected to be completed by the end of this year?
Patrick Decostre: Yes and no. Yes, if everything goes perfectly well. No, it could be beginning of next year, if it's a little bit more difficult. I do not expect that, but we're working hard to make our decision this year, but I cannot promise this to you today.
Mark Jarvi: No. I understood. And then the last question from me is just, obviously, it's been price caps in France, power prices come down a little bit. I'm just curious to see, where the corporate PPA market is now relative to maybe six months ago or 12 months ago. So we've updated you in terms of what pricing might be able to clear for 10 years or longer?
Patrick Decostre: Yes. Its -- PPA market really depend of the duration of the PPA. We have typically extend one of the PPA we signed some years ago with a company at a price which is over €100 megawatt hours. So -- but this is a three-year extension. If you want to go to longer-term, I would the price today, the negotiation is over -- between €80 to €90 megawatt hour for 10 years and this is things we are negotiating presently for specifically new assets. So that's one thing. And yes, there is a lot of demand because -- and we have choices because really companies who have a vision of the supply and demand of the power market in Europe, they clearly understand that the price will not go down. And so they want to secure their electricity and they know that there is not so much projects today which are able to sell their electricity because they are all contracted.
Mark Jarvi: Okay. Thanks for time guys.
Operator: We are now going to proceed with our next question. And the questions come from the line of Nelson Ng from RBC Capital Markets. Please ask your question.
Nelson Ng: Great, thanks. So I just have a few quick questions. So you have -- you obviously have a lot of developments in France over the next few years. And I just wanted to clarify, in terms of project cost and inflation, are you seeing costs land out or come down in the later years, as you kind of look to cost out these projects or our project costs or inflation just normalizing or is it coming down? Can you just comment on, like if you build something in 2022 but just more --
Patrick Decostre: Yes, maybe one thing is, inflation in France. You have two things in a project, you have the turbine themselves and this is affected by the global international markets. So presently the cost of turbine are still really acceptable because the IRA is not yet in place. So this will definitely put a pressure on the cost of turbine for the future. But for the balance of plant, I don't see so much difference 10 years ago in France because the French economy is going okay. But it's not going like North America economy and the pressure on the workforce is not on service and workforce is not the same. The inflation in Europe is specifically due to energy cost and not salaries and workforce. So it's completely different. It's also I think different situation when you compare to what happen in offshore because the risks that we have taken in typically contingencies in our budget are really in line with what happens. So we have many projects that have been put in service or still in construction in France and we are on time and on budget on all these project. And this year, we will put in service 56-megawatt in France and I do not expect to have a big -- any risk on the budget because contraction are going away -- going well and it's going the right direction.
Nelson Ng: Great news. So just to clarify, the -- receiving 18 months of merchant power price once projects are completed, how far does that go in terms of, like if you have projects completed in 2024. Do they also get the 18-month exposure or upside?
Patrick Decostre: Yes, it's a very good question. Presently, this 18 months is an exception -- exemption, sorry, on the finance low for 2023, which put a price cap, okay. So if a project is started in 2022 or 2023 and affected by the price cap, it is no exempted by the low. This is what we except six months ago and this is in the lieu of December 30. So what it means is that if there is no extension of the price cap in 2024 and further, the exemption will stay and we remain and we will have this possibility. So that's one thing. And just to take the opportunity of your question on January 1, we have 163-megawatt which will be in this 18 months for 2023 and some part of 2024 six months in 2024 typically from 90 days 160-megawatt 63 and we will put in service 12-megawatt in S1 and 44-megawatt in this S2 and this will also benefit from the high price. So I think this is important because price in Europe is still and France is still between around €150 megawatt hour. And price for next year, when you look to forward price for 2024, it's quoted €170 megawatt hours. So the market is not seeing the price going down in 2024, which is normal when you look to nuclear refurbishment in France, nuclear -- important work and even the gas situation that North of €50 megawatt hour in gas.
Nelson Ng: Okay. Thanks for the color. And just one last quick question. In terms of the secured projects, the French projects in the secured bucket, are those likely -- more likely going into '24 or more likely into '25 in terms of the completion date?
Patrick Decostre: Yes, it depend project-by-project and it will give some of these projects. No, on all of this project, I'm sorry, we have already the authorization but authorization are challenge in front of the court. We won all our trial during the last five, 10 years, probably. So I'm quite confident and I don't like to say that, but I'm quite confident that we will win also this project. That's why we put them in this. And again, the French courts are aware that they have also to accelerate their work on authorizing wind or solar project for -- due to the energy crisis. Even if they remain independent from the government, they are not crazy and they understand that it's the interest of the society and friends to accelerate this.
Nelson Ng: Okay. So some of those projects were just kind of held up in the court process?
Patrick Decostre: Yes, it really depends. If they are, see if -- and I don't have the date in mind. So I cannot answer directly, but we can come back to you, if you want. But if we have the audience in S1, we will be able to connect in 2024 and if we have the audience in S2 probably it would go and slip to 2025 but it will not slip further than that.
Nelson Ng: Okay. Thanks for that. I'll leave it there.
Operator: We are now going to proceed with our next question. And the questions come from the line of Ben Pham from BMO. Please ask your question.
Ben Pham: Hi, thanks. Good morning. Wanted to ask on your recent U.S. acquisition. Some assets that you picked up in Texas and surrounding areas. What is your near term and maybe longer term goals with that acquisition?
Patrick Decostre: Yes. The first point is, it accelerate our exposure in the U.S. market, like we mentioned in our strategic plan. It's -- the very near term it's good cash flow, a very reasonable valuation. I think we negotiate for more than one year or 15 months with EDF on this project. These projects are in very good shape also technically. So that's the near-term goal. And the second part is, we have not start and I will not announce that today that we start organic development in Texas and New Mexico. But it's a strong market with interesting demographic and demand grows. So potentially it could be something where on the long term. So not today, we would decide to make buildup around these project or continue to say like to have this exposure. One thing, which was not part of the goal, but which is a good bilateral benefit of the project is that we are partnered with Axiom in this project and Axiom is sometimes or many times competitor to buy assets. So we have also conversation with them to be, say, sometime partner off other M&A and leverage their cost of capital, private cost of capital and our operational excellence and skills. So there are different aspects. And last but not least, we've entered the U.S. market. When you go to a tax equity provider, the first question is, are you at 10 gig guy? And so today we are north of 1 gig guy. So we start having a conversation with these people when we had just 200-megawatt in operation, it was -- we were less interesting to these people. So I think this is also an important bilateral benefits of this project.
Ben Pham: Okay, thanks. And can you remind me -- does this -- your targets, I know you mentioned diversification had percentages for the U.S. this transaction, does that get you closer or is it seems like there's more to go in the U.S.?
Bruno Guilmette: On the long term, as we said in our strategic plan is to make the U.S., our number one market. So this is quite a lot of the quite a way to go still and our growth to the U.S. both in wind and solar.
Patrick Decostre: Yes, the target I think for 2030 is 45% of our installed capacity in the U.S., but 45% of 10 gigawatts. So it means, we need to quadruple our exposure in the U.S. in the next eight years and we will work on that.
Ben Pham: Okay, got it. And then maybe in France, a lot of changes of price caps and rules or whatnot that may come up that may not come off. But if you just kind of see what happened the last six months or so with pricing. Would you have done what you've done with early retirements if you knew what you knew today on how the price caps materialized?
Patrick Decostre: Yes, sure. It's -- there is two things. Yes, the answer is yes. And if I knew the price cap at that time, we have, maybe in the contract we signed with the other counterparties, we could have do something an improvement, but we're still very happy with the situation because the project, the 326-megawatt, which were -- on which we send at early termination, the average price was €95 a megawatt hour. Okay. €95 megawatt hour due to inflation and because its old assets. In Q4, we were selling this electricity north of €500 a megawatt hour. It means that after price cap, 10% of 400 plus 100 means a €140 megawatt hour, which is still a very good price despite all my frustration. And for this year, it's North of €120 after price cap the blended price for this 326-megawatt. So I'm still happy with what I did and what the team did. It could have been really different. And yes, that's -- I think it shows the agility of our team and all we were prepared to different scenario because we start to have a trading aggregating team. I start that with a single guy and I think in 2017 and we were prepared to do this big move, which will create -- which has created a lot of value, which will create a lot of value for this year and next year. And again, I think it was -- question, we don't know today if there will be a price cap or not in 2024 and further. So that's also something which is interesting. And also another thing that we have done is we have accelerate by roughly five months Moulins Du Lohan project 65-megawatt. And by two, three months I think Mont de Bézard project, which is 25-megawatt. So on this part, we have been also agile to be exposed to the 18 months, which isn't different things, but it shows how much we are on the bull on these things.
Ben Pham: Okay, that's great. Thank you.
Patrick Decostre: Thank you.
Operator: We are now going to proceed with our next question. And the questions come from the line of Andrew Kuske from Credit Suisse. Please ask your question.
Andrew Kuske: Thanks, good morning. I guess the question is for Patrick. Really where are you seeing the greatest pressure points in developing projects, is it on the OEM side, forgetting equipment and the pricing of that equipment EPC and company is actually building it or is it on the regulatory side with land approvals and transmission interconnections, I guess, what are your biggest concerns at this point?
Patrick Decostre: I think on the very - I will answer, Stephane. On the very short term - he wants to take my job.
Stephane Milot: No, I was just saying that it's a different market to -- 
Patrick Decostre: I think on the short term on the very short term, what is important for existing project is the question of the costs and it's working on that. And I also already commented on this, I think we have room of optimization and we have taken see its net -- it's 100-megawatt Apuiat, but it's 200-megawatt final investment decision last quarter. We have taken Limekiln decision and we're building another 56-megawatt in France. So I'm quite confident we are on the right side. We have to leverage also the 1.2-gigawatt project we have in Quebec to negotiate the costs. So very short-term to cost is something. I think on the medium term and this depend from one market to the other is the grid connection. Transmission and this will affect every market when they or another, the margin on the grid and on the transmission system in almost every market in the world or at least the Western world are their limits. So the government has to invest lots of money on this. And when I say lots of money, it's probably billions. But it's the only way to make the energy transition, so it doesn't rely on Boralex. What rely on our side is to find a place where there is still capacity to connect project or to find the place and lobby to have new capacity somewhere and be ready to connect a project in 2027, 2028 where the capacity will be in at that time.
Andrew Kuske: Okay, I appreciate that. And then the second question, Patrick, you mentioned earlier on just the importance of having a certain scale to deal with certain players on the tax equity market from the counterparty basis and you've had very explicit megawatt targets in the market of what do you want to do achieve and you're well underway with that. When do you anticipate that megawatt target shifting and maybe return targets, whether it'd be ROE, Rocky, some other capital metric? And maybe this question for you, Patrick, and also for Bruno.
Patrick Decostre: Andrew, could you repeat the question? When do we expect?
Andrew Kuske: To transition from megawatt targets to maybe return targets like hitting a target return on your whole project portfolio and being more explicit about the return expectations.
Patrick Decostre: Well, we have in a way return targets because we're putting not only megawatt targets on our 2025 plan, but also AFFO. So to us, it is the return target. It's firstly a return target. I mean we want to do, as we've said in the past, we won't do megawatt just to do megawatt. We want to make sure that we continue our disciplined approach and growing profitably. So I know, I mean, we've talked about our return target by projects, which is -- which continues to be 8% to 10% on a levered basis. And clearly, we're seeing that we're competitive, but in a right way we win some projects and we lose some other projects. So we continue to be in the market. But from a different types of target, I mean, for now we believe that we're focused on the right numbers. Yes. And just maybe a comment and specific which is important, and I know that we discussed that with investors. Not sure that we discussed that with Analyst. But the 50% of the short-term incentives of every employee in Boralex is to beat the highest free cash flow per share, that has been achieved in the past. So that's what we have done for the last 20 years, I think. It's to go in the right direction. So it gives a lot of discipline to us when it's time to take investment decision. We're not looking to megawatt. We're not looking to EBITDA. We're looking to FFO and AFFO per share and this is on the what we are incentivized. So I think it gives us a lot of discipline to the team.
Andrew Kuske: That's great. Appreciate the color. Thank you.
Patrick Decostre: Thank you.
Operator: We are now going to take our next question. And the questions come from the line of Naji Baydoun from IA Capital Markets. Please ask your question.
Naji Baydoun: Hi, good morning. Just wanted to ask a few questions on Limekiln. So I think you signed the turbine agreements already and projects expected to be commissioned sometime late next year. Can you just give us an update on the timing to sign and announced a corporate PPA and get the financing completed?
Patrick Decostre: Yes. Next quarter is what we are -- that's our target to sign those we need to say sign both at the same time because it's important to be, say, back-to-back on the negotiation of these two contracts. So that's what we are planning.
Naji Baydoun: Okay. That's great. And just on, you mentioned Limekiln and Apuiat received two different projects in different markets. But those would be kind of at the higher end of your return targets, where do you see and what markets today do you also see the opportunities to kind of get better returns? Is it more on bilaterally negotiated projects in Quebec, is it more on corporate PPAs in France? Just wondering if you can comment on where kind of, you see the best on organic growth today?
Patrick Decostre: What I can tell you is that we have this list, but I -- since we have a counterparty under the side I would not, sorry, comment on where it is. I think we're really, say, all the project that we do are we do it with the same discipline. And yes -- and it's too sensitive information. Sorry.
Naji Baydoun: Okay. So just even directionally what types of markets or regions can provide any more color?
Bruno Guilmette: We said in the past, I mean the supply and demand in France, I mean it still offers good potential because it's difficult to develop a project in France. So we've said in the past that we can still enjoy good returns. So it's an important market for us and it's not -- it's just a question of supply and demand. And I mean there's -- we're certainly looking to different regions and different types of opportunities like that.
Naji Baydoun: Okay. Okay, got it. And just on that last note, you mentioned still being active on M&A. The focus though in the short term more and more U.S. scale or is it new European markets?
Bruno Guilmette: Essentially what we're looking is, the U.S. is certainly a market we are looking, because of the size of transactions and it depend of the generation of AFFO because I don't want to do -- we prefer to do say one or two transaction and not four or five. So that's one thing. So the U.S. is interesting on this side. Typically, France is not -- the market where we are already like France and Quebec and Ontario is not the things where we are targeting and actively looking to that. There could be some diversification in Europe within strategic plan, but it really depend of -- what is also really important, it's not -- it's to really clearly understand the market if we are entering a new market. So that's also an important criteria on my side to go for any M&A transaction.
Naji Baydoun: Okay. That's very helpful. Thank you.
Patrick Decostre: Thank you.
Operator: We are now going to take our last question. And the questions come from the line of Nicholas Boychuk from Cormark Securities. Please go ahead.
Nicholas Boychuk: Thank you. Good morning. Just quickly come back to the French power dynamic right now. I just want to understand, like, I have this correct, if you're selling power on the merchant market at €500 per megawatt hour, do you immediately receive that revenue? And then you distribute a 90% of €400 back to the regulator. I'm just trying to understand the mechanism behind that.
Patrick Decostre: Yes, the way the price cap is functioning in France is that yes, we get the price from the counterpart. Counterpart could be utility PPA like we have or selling to the market. And then we have to make the calculation of, we have kind of, we take out the €100 then we calculate the difference between the €100 and the price at which we are selling the electricity. We take 10% of that. We can keep that and 90% we give it indeed through -- it's collected through an existing tax in France, which is called the added value tax, which is an existing one and it's just another part of this stacks because it's temporary. So that's the reason why it is in our turnover. But it's already deducted from our EBITDA.
Nicholas Boychuk: Yes. Okay.
Bruno Guilmette: And it goes into accounts payable.
Nicholas Boychuk: Okay, perfect. That makes sense. Thanks. And just very quickly on the Ontario battery energy storage opportunities. Is there any update on the 600-megawatt that we did?
Patrick Decostre: Yes. We did 380 on the February 16, which was the expedite RFP. There would be another RFP. I don't know if we knew already exactly the timeframe but there would be another one. We have been able to qualify ourselves to this RFP. So we bid the most major project that we have there was some -- because there is a price point and there is some non-price points like First Nations, support municipal, support, places, the place of the system itself. So we make our evaluation and this non-price points are creating a discount on the price -- for the price merit order. So we evaluate and bid two project in the process. But to your question, we are still pursuing the development of a larger portfolio in Ontario for the next RFP, because the need power not energy power is 2.5 gigawatts from the Ontario system and they need that very quickly. So it's an interesting opportunity for us.
Nicholas Boychuk: Okay. Thank you for the color.
Nicholas Boychuk: Thank you.
Operator: We have no further questions at this time. I'll hand back the conference to you for closing remarks.
Stephane Milot: Well, thanks everyone for your attention. If you have any additional questions, please call me at 514-213-1045. I'll make sure we quickly answer your questions. So our next conference call to announce first quarter results will be on Wednesday, May 10 at 10:00 AM. And our -- it will be followed by our Annual General Meeting, which will be held the same day at 11:00 AM. So thanks, everyone, have a nice day. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect your lines. Thank you.